Operator: Ladies and gentlemen, welcome to the Vonovia Full Year Results 2024 Analyst and Investor Conference Call. I'm Mohit, the Chorus Call operator. I would like to remind you all participants will be in a listen-only mode and the conference will be recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time, it's my pleasure to hand over to Rene. Please go ahead.
Rene Hoffmann: Thank you, Mohit, and welcome, everybody, to our earnings call. The speakers today are once again, CEO, Rolf Buch; and CFO, Philip Grosse. They will be happy to lead through today's presentation and then answer your questions. We have divided today's presentation in two sections, plus the appendix. First, a big picture overview of our business and the general environment in which we operate; and second, the full year 2024 update. Rolf will be starting-off with a preface to put the last two weeks into context and provide a framework for our view on the consequences for our sector. And with that, over to you, Rolf.
Rolf Buch: Thank you, [Philip] (ph), and good afternoon also from my side. Allow me to start today's presentation with the following preface. This is actually on Page 3. Our earnings call today takes place in an environment and sentiment that is different than from two weeks ago. The situation is still very much in flow, and we believe there is limited visibility on the exact consequences, especially in the medium to longer-term. But let me take back a step and describing what I think are the different phases in Vonovia's development. I think it is important to understand this evolution in order to appreciate the future potential. From my point of view, Vonovia has gone through two distinct phases and currently stand at the beginning of the third phase. This is a return to growth. For more than eight years after the IPO, we made use of the highly favorable interest rate environment and built a platform that delivers higher cash flows, better margin and superior quality than any other platform and where the assets are located in the right markets. Then came the war in Ukraine and the abrupt changes in interest rates that led to an increase in our cost of capital. We changed gears and went from offense to defense. The second phase was knowingly about protecting our rating and balance sheet. Now since Q3 last year, we are at the beginning of the subphase in Vonovia's evolution, where we can return to growth, but less capital intensive. This means an acceleration on our non-rental EBITDA and leveraging our platform and scale to expand our service business in a less capital-intensive way. In doing so, we will combine our growth ambitions with financial stability and capital discipline. However, the end of the last two weeks have now led to new uncertainty. The increase in bond yields appears to be primarily driven by the market's expectation of a massive increase in German bond issuance to finance the planned military and infrastructure investments. What is still unclear for me is how strong and sustainable the increase in bond yield will be at the end of the day, given that the planned investments are expected to be made over 12 years. Not nearly all funding will be required on day 1. At the time -- the timing will largely depend on specific planning approvals where we are specialists for Germany, capacities and others. It is simply too early to draw a definitive conclusion from recent events. While bond yield levels has certainly not the only driver of our residential asset values, the actual impact of the recent event on property prices remain to be seen and cannot be reliable terminated yet. Similar, the high bond yields for longer would lead to elevated financing costs, but we just do not know. And on the flip side, the spending bill will include material positive elements that will support our efforts in terms of modernization and new construction as we expect sustainable investments in climate protection already announced, energy and housing. So yes, new headwind for the sector, but also opportunities. And both cannot be reliably estimated to form a clear view on what all this means for the sector, especially in the medium and long-term. So how do we react? The last three years have confirmed that we are well advised to refrain from knee jerk reactions, but to continue to manage the business with a steady hand. And adjustments we made must be in a careful and deliberate manner. It was this level-headed approach that allows us to successfully navigate through the last crisis and protect our rating and soften the impact from declining values and higher financing costs. At this point, we do not see an immediate need for action, but we will of course, monitor the situation very closely, and we will carefully evaluate any potential measures also in the light or medium or long-term impact on our business. The key priorities are clear. We will protect our rating, manage our debt KPIs, maintain overall capital discipline and safeguard the long-term success and long-term growth of our business. What has become less clear is the execution timing of certain non-rental growth initiatives. I'm thinking, for example, for potential stranded assets and development. Depending on how things evolve, we may decide to give priority to more capital-light initiatives. There are lessons launched during the last crisis that will now allow us to focus on what worked and refrain on what didn't work. And this was, for example the abrupt disruption of the investment program. So the next time, we will not do this again. Let me be clear. While it is too early to discuss any specific measure, we are prepared to take decisive action if and when it becomes necessary. Let me emphasize the following. In spite of a quite different phase I just described and in spite of the recent uncertainty, one thing is clear. It was the right decision to build our business around the megatrends. Our market fundamentals have been getting stronger and stronger. And our operating business is more robust than it has ever been. So we may face another period of uncertainty, but we can face it from a position of strength, knowing that our business is built on a rock solid foundation. Let us take a closer look on the most recently available data on asset valuation and pricing. This is Page 5. The data suggests that value declines has stopped and prices have stabilized. For multifamily homes, this seems to have been the case somewhere towards the end of Q4. The third quarter was minus 0.5%, and the fourth quarter was basically 0%. For condos, which are always a little bit in advance, it appears that it has been somewhere in Q3, and prices have already been slightly growing recently. We saw minus 0.1% in Q3 and plus 0.9% in Q4. Of course, the valuation of our portfolio mirrors this development, and we have seen a slight gain in H2 in all three countries. Now we wondered on Sweden. We think that the faster return into positive territory is related to shorter financing terms in this country and rent growth of more than 6% as inflation finds its way into and rent level faster because of the different regulation. Sure. None of this data includes the recent increase in bond yields, but we have seen in the past that bond yields are not the only factor that impact valuation and prices in our sector. On Page 5, you see that Q4 last year saw an increase in sentiment and optimism. And Page 6 allows some data to support this. Transaction volumes in Q4 were the highest since Q1 '22. And according to a survey by Ernst & Young real estate conducted in January this year, residential real estate is in the top focus for real estate investments this year, with the vast majority of respondents expecting no change in pricing or even increase in the course of '25. If you look at the volatility and the turbulence in the capital markets, it must be easy to forget the situation our underlying business looks like, since actually things actually couldn't be more different. During the last three years of higher inflation and higher interest rates, we have seen the supply-demand imbalance become much bigger. And while our residential sector is regulated in a term of how fast you can adjust the rent level to the wider market reality is a different one. The sources of apartment simply trumps regulation. People are so desperate to find a rental apartment that they are prepared to sign an agreement that is not in-line with the prebilling regulation, just so they get the upper hand versus hundreds of others who are competing for the same rental contract. And this drives regulated rent via the Mietspiegel system, but of course, there's a delay. This huge gap between market reality and our rents means that our rent growth for many years to come is rocket solid. We already know today and the speed at which we can catch up with the market rent is about 4% based on our current investment amount of about EUR1 billion. To the extent we increase that amount, the rent growth will be higher from 6% to 7% operating yields on this investment. Before Philip gets to the 2024 highlights, let me close a big picture chapter with a look at our growth trajectory. I will start with the rental business. You saw the strong markets we are in the previous page. You also saw the huge gap between our rental levels and where the market is giving us strong visibility on many years of extremely solid rental. Combined with the full occupancy as the full rent collection, this creates a rocket solid, low-risk and highly predictable rental segment that delivered more than 90% of our total EBITDA in 2024. And that will continue to be in the main sources of earning contribution going forward. In addition to that, we are preparing our nonrental business, and we presented the concept to you last November. As a reminder, we are talking about 3 categories: return to performance, accelerated tech supported investment and new business areas. Our ambition until '28 is to grow the rental EBITDA by 4% and the non-rental EBITDA by 30% for a combined total EBITDA growth of around 8%. In terms of EBT, we aim to grow in the middle single digit range. And with this, I hand over to Philip.
Philip Grosse: Thanks, Rolf, and also a warm welcome from my side. So let's move to the second chapter, starting Page 9. Here, a big picture again, we have been seeing that value decline has stopped and prices have stabilized in the last quarter of last year. In addition, transaction volumes are increasing, and there is certainly a growing market optimism. For Vonovia, we have successfully completed our disposal program for cash generation purposes and to see the end of the negative price correction for now. As a consequence, leverage is under control. And ratings remain in a good investment-grade territory. Our organic growth trajectory until 2028 remains unchanged. And here, as Rolf said, we aim to deliver about 4% CAGR for adjusted EBITDA rental, which is based on EUR1 billion investments. And here, again, you know that we intend to ramp that up with an operating yield of 6% to 7%, and that is positively impacting the rental as well as the value-add EBITDA. And against that backdrop, we also expect the growth in our non-rental EBITDA to be much more dynamic, more in the magnitude of a 30% CAGR until 2028. And all of that will translate into adjusted EBT CAGR in the mid-single digit. For highlights, 2024, 4.1% organic rent growth, so upper end of guidance. Adjusted EBT, a bit softer. But again top-end of our guided range. Operating free cash flow, much higher in 2024, as a result of our preference for cash generation over profitability. LTV came down fairly significantly, 150 basis points, and it's now on a pro forma basis at 45.8%. So almost where we want to be in terms of our target range, 40% to 45%. EPRA NTA was down 3.4% year-on-year, now at EUR45.23 per share. And finally, on the dividend, as guided, we intend to propose EUR1.22 in the upcoming AGM in May. This is an increase of 36% compared to last year. Let me update you on the disposal side following more than EUR4 billion in 2023. We delivered another EUR3.8 billion in 2024 for a combined transaction volume of almost EUR8 billion over the last 2 years. Most recently, you may have seen we sold our nursing business in Hamburg for EUR380 million, significantly above book value, by the way. And that more or less completes our disposal program that we have initiated for cash generation. That having said, what we are now going to focus on is selling the remaining non-core business of EUR1.6 billion, which is still on our balance sheet. We have made our disposals at or above book value at the time, and we were right, I think, when we said we would not rush into it. I still recall quite a few market participants urging us at the beginning of the crisis to sell at all costs. It's good that we have taken a far more balanced approach. Because, yes otherwise, I think the consequences would be -- would have been to the detriment of our shareholders. Moving to Page 11. We have the familiar overview of EBITDA, EBT and operating free cash flow. A couple of comments to put this into context. Yes, underlying operations and Rolf was alluding to it, remain extremely favorable. Rents are growing. There is basically no vacancy, and we are collecting the full rent. On the other hand, we are seeing the direct from disposals on adjusted EBITDA rental that was slightly down because of a smaller portfolio and also more normalized cost levels for last year compared to 2023. Value-add segment is up fairly significantly year-on-year that includes roughly EUR60 million from a lease agreement on our coaxial network, something that unfortunately will not repeat itself in 2025. Recurring sales volumes development to sell both saw higher volumes, but also lower margins that as a result of our focus on cash generation. And the increase in adjusted EBT attributable to minorities is due to the annualized impact from the two Apollo joint ventures we entered into end or mid-end of 2023. The increase in our adjusted net financial result is related to the higher refinancing costs, and also here, the full year effect of 2023 financings. Tax line item, the increase is the result of increased disposal activities. And finally, the higher minorities in the operating free cash flow, again from the two Apollo JVs, higher cash dividends. Moving to Page 12. Here, we thought it might be helpful to put together all the different buckets that we include these days in our investment program. So you see that on the right-hand side of the page. We have the traditional categories you're all familiar with, optimized apartments, upgrade building and development to hold or space creation, with the nonrental EBITDA growth initiatives. We are adding three additional categories, which are serial modernization, energy cube and heat pump as well as photovoltaic. These three are more industrialized, more tech supported and will allow us to ramp up our investment program from currently less than EUR1 billion to the targeted EUR2 billion by 2028. The target funding, to be very clear, for the investment program is 60% equity, and we will make sure that this is leverage neutral. There, our good performance on the operating free cash flow certainly helps. And as a reminder, I made that point before. All of these initiatives have a yield on cost of around 6% to 7%. So it's highly profitable business for us. Page 13, I think I said it before, highly robust like a clockwork, no surprises here. Let's go for the next page for the valuation update. Just some additional remarks and valuation, full year value decline, minus 0.9%, breaks down into 1.4% in H1 and plus 50 basis points in H2. Our portfolio is now valued at 23.2 time net core rent or a gross yield of 4.3%. This by reference represents per square meter value of just under EUR2,300, including the land. And if you compare prices for condos, which are more in the direction of EUR3,400 on new construction, even EUR5,500, you see the big discrepancy, which in my view, is supporting our valuation approach. Moving to Page 15 on the financial KPIs. Pro forma cash position is currently EUR3.8 billion, EUR1.8 billion cash on hand, EUR2 billion still to come based on signed disposals, and by the way, excluding the [RevPro] (ph) in the context of the domination agreement. So if I move to our pro forma LTV, 45.8%. So slightly, only slightly above our target range. And here, assuming stable yields, LTV will decline organically as rent growth drives value growth. So the direction of travel should be positive once market is finding its long-term equity. Net debt-to-EBITDA is 4.5 times. So basically in the middle of our target range that, again, on a pro forma basis. And here, in light of our EBITDA growth initiatives, we should equally see that metric declining over time as well. ICR, 3.8 times, above our internal threshold. And while this KPI is the most challenging of all the 3, I'm still confident that we will be able to maintain it above our internal target threshold as well. Rating agencies, as you know, have maintained their rating and outlook in Vonovia, Moody's and Fitch just very recently in mid-February. Page 16 is on the dividend. As I said, we will propose EUR1.22 to the upcoming AGM. This is a 36% increase and marginally above consensus, but very much in-line with the guidance we gave when we said we expect the dividend capacity of around EUR1 billion for 2024. If you look at the dividend policy, there is an extra EUR200 million of surplus liquidity which we have, however, decided to retain and deploy towards the significantly increased investment program for 2025. So I think this is a sensitive decision. With regards to potential scrip option this year, we will be making that decision as usual at the time of convening the AGM, which we expect to be in mid-April. Scrip option just as a reminder, remains a year-by-year decision, and that is primarily based on share price level versus our net tangible asset value, but also on the other side, leverage and cash flow considerations. And on a more general note, based on our dividend policy, we aim to pursue a progressive dividend policy with long-term dividend growth over time. Page 17. On guidance, we confirm both 2025 guidance and the 2028 medium-term objectives. There's 1 line item that I would like to clarify, as there was some confusion last time, the objective 2028 now shows that rent growth of more than 4%, and this reflects our plans to ramp up our investment program from currently just under EUR1 billion to EUR2 billion by 2028. And these higher investments, of course lead to higher rent growth as a result of adding 8% of the investment amount minus maintenance cost to the rent. And that -- against that backdrop, should gradually see a move towards 4.5% on our way to 2028. And with that, back to you, Rolf, for wrapping it up.
Rolf Buch: So thank you for that. Before we go into the Q&A, let's summarize. Following the inflation from an interest rate hike in the wake of the war in Ukraine, our residential market has shown clear signals of stabilization and normalization with the values bottoming out and optimism returning to the sector. Vonovia's operating business remains rock solid, and we are confident in our ability to deliver on the '28 -- '25 guidance as well as the '28 adjusted EBITDA growth objectives. However, more uncertainty has emerged from the planned investment in military and infrastructure spending by the German government elect. The amplification, both positive and negative, are still unclear at this point, and we carefully monitor the evaluation -- evolving situation. The last 3 years have confirmed that we are well advised to refrain from knee jerk reactions but to continue to manage the business with a steady hand. Contrary of this three years ago, we are much better prepared today and can draw from the lessons we learned over the last years. The key priorities are clear: protect our rating, manage our debt KPIs, maintain overall capital discipline. But in the same time, and with the same importance, safeguard the long-term success and the long-term stable growth of our business. And this is back to Rene.
Rene Hoffmann: Thank you, Rolf and Philip, and I hand it to our operator, Mohit, to open up the Q&A. Just 1 reminder to everybody, just like in previous calls, we are going to limit question -- or limit the amount of questions to 2 per person, and I kindly ask you that you honor this request. So with that, Mohit, let's do the Q&A.
Operator: [Operator Instructions] And the first question today comes from Valerie Jacob from Bernstein. Please go ahead.
Valerie Jacob : Hi, good morning. Thank you for taking my question. So I've got two questions. The first one is on the dividend. I think last year, you came and you gave us a formula on how to think about the dividend. And this is the first year after this formula and you've decided to pay a dividend which is lower than the results of the formula. So I was just wondering how -- so we think about that? And is your objective purely to grow the dividend? And shall we forget about this formula? Or how do you think about that? That's my first question. And my second question is, so you mentioned that despite all the uncertainties, you think that there's no need for immediate reaction and that you're monitoring what's happening. And my question is, can you be more specific in terms of what you are monitoring? And is it the response for the credit agency? Is it the sentiment from market participants on prices? If you could be a bit more specific, that would be helpful. Thank you.
Philip Grosse : Yes. Thanks, Valerie. On your first question on the dividend, we have a dividend policy in place, which is 50% of EBT and surplus liquidity. But at the same time, I think we are still in a more rough environment, if you will. If I look at the performance of operating free cash flow in the last three years, this obviously was highly impacted also by us prioritizing cash over profitability in order to delever the balance sheet. So the basis for operating free cash flow, in my view, is not quite a sustainable one. And second, as we ramp up our investments going forward, I think it's prudent that yes, so to speak, shareholders have to live with only a 30% plus increase in the dividend.
Rolf Buch : Actually, Valerie, what we have to monitor, is a lot of things we have to monitor, of course. Of course, we are monitoring very carefully the development of the interest rate, ours and the bonds. And we also have to monitor -- I think this is the most important task. Now the outcome of the coalition agreements, which are taking place in the moment. Which means we have to understand how much money we get off the EUR100 billion, which is reserved for the environmental, which we -- I think we will get a big part of it. So this, of course, will drive our ability to finance even with higher interest rate. So -- and then we have to pursue also to get a better understanding how the outflow of this EUR500 billion will happen because this is strict and riches, and all these, and we have an approval process. So if today's approval process will apply, which is the same hassle of the housing, this will take a very long time. So there might be -- and I think the government will be forced to revise the whole approval processes to speed it up because otherwise, the money will be spent somewhere in year 10 and 11. So that's why I think this is to be monitor. Of course, we also have to look on the value development. Our assumption is still that increasing rents will be with stable yields, lead to a higher value growth. This might be different depending on the cost of capital. So to make it short, we have to understand what the evaluation of cost of capital is not only on debt on the equity side. We have to monitor our returns on the different investments, which we have to do. And we find out that some investments are probably not as attractive with higher cost of capital and probably not significant higher returns, then we will refrain from them. To be very clear, the most prominent, which is very easy to stop or to do slower is under what we call undeveloped assets or potential stranded assets, maybe just by a little bit later or in the development field, especially development of hold, we can start construction places a little bit later. So I think this is the kind of prudence which we now will put to place, but the cost of capital is the most important which we have to monitor.
Valerie Jacob : Thank you. So Philip, just maybe on the dividend because I don't think I understood the answer. I understand you want to be prudent, but how should we think about next year? So would you think that the objective is to be prudent and grow the dividend? Because I know that net working capital is highly volatile, but you chose to include it in the formula. So that's what I don't understand.
Philip Grosse : Yes, Valerie, again, I think 2024 was very much characterized still by stabilizing our balance sheet. I think it's fair to assume when we ramp up our investment, the additional free liquidity, which is up to the 50% of EBT is somewhat pressurized in a positive sense because if we do more investments. Coming back to Rolf's point, that means we're earning more than our cost of capital, and that by nature is then to the advantage of shareholders. And that is what we have baked in in the decision not to pay on top, the full surplus liquidity, but only a portion of that, but still translating into a 36% increase year-on-year in terms of dividend per share.
Valerie Jacob : Thank you.
Operator: And the next question comes from Charles Boissier from UBS. Please go ahead.
Charles Boissier : Thank you for taking my questions. I think a related question, but just to understand your flexibility of adjusting the new strategic plan around the cost of capital. Under what circumstances do you move back more radically to cash preservation in terms of investments, dividends and disposals? And meaning going back to Phase 3 -- from Phase 3 to Phase 2, if I refer to your Slide 3?
Rolf Buch : So to be very clear, there is -- in the growth initiatives, there is initiatives which really do not need any investment. So very asset-light. And of course, this is not impacted by the change in cost of capital, and we will continue to do so and even probably prioritize this. So there are some activities like, for example the heat pump or the serial modernization, which is relatively asset-light. So we have a relatively high return and will be significant above our cost of capital even if the cost of capital is going higher. And this, of course, we will continue as well because this is security for our shareholders. There are sectors like, as I said, the development to hold. And the potential stranded assets, especially in the case of development to hold the yield gap between the cost of capital and our internal -- on our returns is not very high. So this will be probably the post which it will stop. And for the potential undeveloped assets, it is actually easy. You can do it just a half year later, that's why it to be a little bit more prudent. So if you have more clarity. So -- but the general rule is if we see our cost of capital rising, we will do less investments. And this is of course taken as you know, these investments are discrete decisions, investment by case. So building by building, modernization by modernization. And this is actually very -- can be very granular.
Charles Boissier : Okay. Clear. And my second question is on the future recent reports, I expect the EBITDA to net interest coverage to tighten from the current level, so basically deteriorate. I think you guide for ICR to be roughly stable. So could you give us a little bit of like a direction for the ICR as to when exactly it stabilize? Thank you.
Philip Grosse : Yes. On the ICR side, stating the obvious, our average interest costs are now roughly 2%. And if I look at the marginal cost of debt, now with the slightly changed parameters, it's up 30, 40 basis points. So we are currently at 4.3% roughly for a 10-year tenor. So by that, you can see that it will take some time for our interest line to grow into the new financing environment. But given our staggered maturity profile, that only comes step by step. Now for this year, I expect kind of a flattish small pressure on ICR, but we will maintain that above our internal threshold of 3.5x, which by the way, is at a big safety buffer vis-a-vis what the rating agencies are expecting just recently. Moody's has lowered their threshold on ICR. So there is quite a big discrepancy between our interim target and what is -- rating expecting from us for the current rating. And then B as to follow, obviously, depends on the development of the interest rate side. So here, I think we should somewhat monitor the markets. But short to medium-term, I have no pressure on that side.
Charles Boissier : Thank you.
Operator: And the next question comes from Jonathan Kownator from Goldman Sachs. Please go ahead.
Jonathan Kownator: A couple of questions on my end. The first one, please. So kind of focus on growth, but you said -- I mean, obviously, there is an uncertain environment regarding also government measures, but it would be really good to understand your current reading of things and how you've talked about the volume of investment, but also the understanding of how that EUR100 billion could get spent and whether you get any other benefits from the infrastructure fund in general, where you see any impact in terms of subsidies, rental business and development? The second question is around growth and organic growth, essentially, including investments. If I look at Slide 12 and 13, you've got a starting base of Mietspiegel this year of 2.8%. And you can presumably think that that's going to stay stable or perhaps grow, given the inflation over the last few years. If you want to add as much as potentially EUR2 billion of investments, say, even -- not even that. But if you just do EUR2 billion at 6% or 6.5%, that's another 4% of rental growth versus the 2.8%. Obviously, I'm sure there's a bit of maintenance here. But the 4% to 4.5% that you are highlighting seems a bit underwhelming versus that potential. So I just wanted to understand if your assumption is very conservative? Or is there a number of costs that you're not highlighting in there? Thank you.
Rolf Buch : No. I think for your second question, to be very clear, it might be conservative. Keep in mind that it has to be ramped up. So the EUR2 billion which we are doing in one year not necessarily shows up in rental growth in the year because you know this delay because we are investing. So what is important is that you can do your math yourself. It's 6% to 7% or even 8% of yield on every euro which is invested which is mainly in the rent. So this is the math where you can do EUR1 billion more. And if you're in a fully steady state, then you can calculate the rental growth. For the rent table itself, yes, you are right, there is a trend upwards. But as you know, the complex rental regulation in Germany, the 4%, this EUR1 billion is probably more or less a safe site to calculate with. And of course, if it is EUR2 billion, then it's more, but this is mathematics. For the second thing, what we know for sure already is that EUR35 million of this package will be for housing -- subsidies for housing. So of course, we are building housing and we are one of the remaining house builders left in Germany, and we will get out of this amount of money. How it will be structured? Is it a percentage per square meter? Is it an absolute amount per square meter? Is it the subsidy for land? Is it a subsidy where we don't know? It's not written. So it is not drafted. So at the moment, they are sitting together, forming this coalition negotiations. And I think also, it will be not the case that in the end of April, we know exactly. We know them some guidance. Give you another example, our heat pump, which I think you have seen in the Capital Markets Day, which is actually the structured heat pump. You know there was a subsidy which was given by the old government of 10% versus type of heat pump. And it was then a privileged situation because they had not enough budget, that owners of buildings got 70% of subsidies, and we as a landlord only get 30%. So the original plan was that everybody can get up to 70%. So I assume now that there's more money there. So this might be an option, at least we will lobby for it, everybody is treated equal which I think is also an important factor. And this means that the heat pumps will be subsidized not by 30%, but by 70%. So these are examples. So Jonathan, I'm really sorry. I cannot give you an exact, but I just want to give you as much clarity as we have and how we think on it. Of course, if there is more subsidies and heat pumps and if we can get a higher return on heat pumps, we will do more heat pumps. So this is obvious. And if there is no subsidies for new construction and the cost of capital are going up, then we are doing less new construction. As simple as it is, its individual decisions so we can really optimize the decisions there. And of course, we will speed up all the investment for all the growth programs, which have no or very little investment, for example, operating asset management services, which actually comes with no investment, we want to speed up there. So that's why I don't see a big change in the growth profile. That's why we stick to the '28 guidance. There might be a shift from less capital from more capital intensive to less capital intensive dependent on our cost of capital.
Jonathan Kownator: Thank you.
Rolf Buch : To Let me just add 1 thing. If we would not have invented the new growth strategy in Q3 last year, we should have invented it now. Because this gives us the possibility to have a good mixture between more capital intensive and less capital intensive cost and cost initiatives which we can drive forward. So we have actually 10 parts of driving growth forward and not only 1.
Jonathan Kownator: Okay. Thanks very much.
Operator: Thanks. And the next question comes from Thomas Neuhold from Kepler Cheuvreux. Please go ahead.
Thomas Neuhold: Thank you very much for the presentation, and taking my questions. One for Philip and one for Rolf. The first one is on cash taxes, which went up quite substantially last year. I was wondering if you can split the cash taxes of EUR235 million related to disposals and which are related to the recurring business? And what do you think is your realistic long-term cash tax rate for your recurring business? And the second question is on the development of sale business, Page 27 of the presentation. As of when do you plan to reach this EUR1 billion investment volume and the targeted 30% reduction in average construction costs? And can you elaborate what measures you want to implement in order to bring down construction costs by 30%? Thank you.
Philip Grosse : Yes. On your first point on cash taxes, if you look at our operating free cash flow, the cash taxes we show there is basically -- are basically the cash taxes related to our core business. So it does not include any noncore disposals. So this is only, if you will, on rental, value-add, development to sell and recurring sales. So why has that number gone up? Because we sold more than we did previously, and that is true for our development business, but that is also true for our recurring sales business. You see that if you look at the respective volumes in both categories on the profitability side, as I was alluding to, there was kind of a drag because we prioritize cash vis-a-vis profitability. So we have been accepting quite low gross margins. How to look at that going forward, I mean we certainly want to increase our privatization pace. So that will go hand-in-hand also with higher tax payments on the development side, and that is slightly biting into your second question. I think the situation is that because essentially, we have essentially sold everything which is under construction in order to generate liquidity. So it will now require some pre-investments before we can actually generate additional EBITDA, which is why this year is less in the development space about selling project developments. It's more about selling defined land plots in order to generate some profitability and reduce our exposure somewhat in terms of land plots we have on the balance sheet. When is it -- when we move to the EUR1 billion, I think in terms of investment, quite soon. I mean we have given the kick start for 3,000 new developments this year. I think it's good timing. With our capital discipline, we have to apply by a good timing because very few other developers are currently developing. So our product will meet the market, which will see by definition, very little competing supply, and that is positive. How quick we are to actually adjust and move towards a 30% reduction in construction costs. I think a bit premature to give guidance on that point now. We’re working very hard on various initiatives and hopefully, also reiterating what Rolf said. There will be some political support on that end. There is an initiative called [indiscernible], which is basically the political answer to also give some ingredients in order to reduce construction costs, and that would be helpful to accelerate that process to move to our target.
Thomas Neuhold: Thank you.
Operator: And the next question comes from Bart Gysens from Morgan Stanley. Please go ahead.
Bart Gysens: Hi, good afternoon. Two questions for me, please. You stated very clearly as priority #1 that you want to protect the rating. Can I ask where are you the most concerned regarding your rating? It looks like your ICR is very much under control, given you've termed out the debt so much. And given that the other metric that really matters for the rating agencies, LTV. So are you effectively saying you cannot exclude that valuations go down, say 5% taking the [LTV to T] (ph), and therefore, that would put pressure on the rating? Any color you could provide on that would be great. Secondly, you have decided to increase the dividend massively, right, 36%, not a surprise. You guided to that. And even if you haven't paid out everything you could have paid out, that's still a massive uplift. In these -- should we assume that if the uncertainty persists at the time you convene the AGM, that you will try to obtain a significant scrip take-up even if the stock continues to trade at a wide NAV discount? Thank you.
Philip Grosse : On -- Bart, on your first question, I mean you're completely right. I made that point many, many times, preserving the rating is really paramount for us. If I look at the different steps, we have fairly comfortable headroom in terms of net debt to EBITDA, under the rating metrics. We have very comfortable headroom also in terms of ICR, where it is a bit light, if you will, a bit pressure is still on capital values. So yes, the risk, if you will, is that the increase we have seen in our financing terms. I was mentioning 30 to 40 basis points, which, by the way, is not a topic at all. It pretty much matches what we have assumed in our planning and medium-term planning. But if there are potentially any spillover effects on capital values -- and here, I think it's still too early to touch on if and if yes, to what extent there is a potential impact on the transaction market, but that is something we will observe. And if -- I think we made that point, we are not necessarily expecting that, but if that were to materialize, I think we have learned how we have to react to that in order to protect our balance sheet, and that is and will remain very much the priority. Now on your second question on potential scrip. We always decide that when convening the AGM. But if all things remain as they are today, I think you can assume that the likelihood of us opting for the scrip option is very, very high. And therefore, also providing a constituent to strengthen our balance sheet.
Bart Gysens: Great. Thank you very much.
Operator: And the next question comes from Veronique Meertens from Van Lanschot Kempen. Please go ahead.
Veronique Meertens: Thank you. Two questions for me as well. So first, maybe on the political discussions, I appreciate, obviously, a lot went around the budget. But is there any update on the mid-price [ rem share ], both in Berlin and on a federal level? Is it a topic that is still being discussed? And are there any updates on that? And secondly, one of the pillars is also the expansion business areas. Also here, is there anything concrete? How serious are these options, as you also mentioned that you might want to speed that part up? Thank you.
Rolf Buch: So the first -- thank you very much for the two good questions. I think the mid-price funds, the pre-agreement is that they will extend it for two years leading of not only hospitals, also, the tenant association is that actually they ready to accept the mid-priced in its way doesn't work, doesn't fulfill what the politicians want. So that's why I think this -- I consider this as a success. You know that to just stop the mid-price would be probably very crucial. So that's why I think they give them now themselves a short period to redefine the mid-price and to adapt it better to the need. So I think this is positive. Of course, this was the pre-agreement, we have to wait for the condition agreement, which might change. But I think this reading, I'm pretty optimistic that mid-price funds, the [indiscernible] and also the gap of EUR2 or EUR3 will be shortly redefined in the new government. So this is something which I consider positive. The second is for the second Vonovia. This is what I mentioned. There is, obviously, to be clear, I have now the chance to talk to some during my road shows, which are normally to visit you, I'm always mixing some meetings in there with people who are investing in long term so not in shares, but in direct investment also sometimes coming from the infrastructure side because people from the infrastructure side consider our cash flow profile is very similar to what they know from infrastructure. And if you talk to these people, they have a different cognizant horizon. So they are talking about 5, 10 years. So this is for them relatively normal to talk about. And then, of course, they have a different view on our business. So I think there is a huge potential where we can use our platform abilities to help also these people to get invested into German resi because from the discussions we have with them, they all know that it's not easy just to go to Germany to buy a few housing and being invested in German resi. So I think this is a big chance, which, by the way, just to be complete, is not completely covered in our business plan, as we always told you, because it is a business-to-business decision, and that's why it's very difficult to predict the cash flows because it depends when you sign a contract. But this is an upside. And as I mentioned before, we are doing more for less capital intensive. I think our priority at the moment is this because this requires no capital. All very little capital.
Veronique Meertens: Okay. Thank you very much.
Operator: And the next question comes from Marc Mozzi from Bank of America. Please go ahead.
Marc Mozzi: Thank you very much. Sorry, good afternoon. First question from my side is trying to understand what is the bridge between your EUR2 per share of EBT after minorities? Annual EUR1.5 per share fuel [EPRA] (ph) EPS, that's roughly EUR400 million, a gap between the 2. I know we're missing the taxes here. I know we don't have the depreciation, but sounds a bit high for those 2 numbers. So how should we think about this gap of EUR0.50 or EUR400 million?
Philip Grosse : Look, Marc, I think this is not for the call to talk about the bridge to a metric which does not form part of our key performance measures. Why does it not form part of our key performance measure? Because EPRA earnings are not a good reflection of our business model. It does not include development business. It does not include privatization business, and it's therefore not adequately mirroring our business. But that having said, if you are interested to better understand the deviation on top of what I've just said, let's take that offline. I think it's too technical for this call.
Marc Mozzi: On your Deutsche Wohnen offer -- share offer for the right blocker. Is Apollo to benefit also from the fixed compensation scheme you're planning to give to investors which are not providing their share or not?
Philip Grosse : If you're dominating the company, according to the German corporate law, you have to give shareholders 2 alternatives. That is either to exit Deutsche Wohnen, become a shareholder of Vonovia. And if they intend to maintain the shareholder in Deutsche Wohnen, which, by the way, long term, at least once the appraisal proceedings have finished, typically is not the preferred choice of people. But then it's simply a dividend. So in other words, shareholders have to decide, do they want to receive, as a Vonovia shareholder, the Vonovia dividend? And if they decide to maintain the shareholdership in Deutsche Wohnen, they will get an equivalent dividend on the Deutsche Wohnen side, which is being determined on the basis of the valuation approach, valuation opinion that has been discussed in the AGM earlier this year.
Operator: And the next question comes from Paul May from Barclays. Please go ahead.
Paul May: Just focusing on the, I suppose, cash taxes, again. Apologies for that, but I find it interesting that you moved to a KPI that was pretax, just at the point your cash taxes materially increased. I'm sure it's coincidental, but just looking at your FFO, it's not the key metric you consider, but that's down about 15-ish, maybe 20% year-on-year. And likely given higher financing cost, minorities costs, higher taxes and disposals are likely to be down again in '25. So I just wondered when do you expect that measure to start to increase? Because it's a measure that a lot of investors and analysts still look at. So would be great to get some color on that. Also linked to that, I think 2 of the key drivers of your adjusted EBITDA growth are your recurring sales and development to sell. Both of those businesses, if I'm correct, incur cash taxes. But if you could just confirm that, that would be great. So again, is that something that you'd consider including in your KPIs given that's driving your EBITDA? And apologies, last one just to take one, I guess. Can you provide some color on the additional EUR90 million of the nonrecurring expenses year-on-year, I think they went to about EUR240 million year-on-year. I just wondered if you could provide some additional color on that, that would be great.
Philip Grosse : Yes, Paul, on the cash taxes, I mean, first, I can confirm that this number is highly dependent on our success in development business, but even more in the privatization business. In the privatization business, we’re often privatizing condominiums, which we are holding on to for long. So that has been depreciated from a tax perspective. And if you look at our deferred tax liabilities in relation to the gross asset value, you get a good estimate on how much that is. So that is very much impacting that. That having said, I mean, I think, we provide that transparency, not in terms of our guidance. But in terms of our reporting, and that you explicitly see the cash taxes, which are assigned to our business, our core business for segments. So you will see the development for the running year. Don't expect big surprises. Cash taxes based on our planning will be inside 10% of EBITDA. So no really massive change in terms of what we've seen in '23 towards 2024. On the one-off side here, we have seen various impacts. I mean they had a lot of transaction business, structuring the real estate transfer broker in terms of the Apollo JVs and other transactional business, and that was accounting for the one-offs. My clear expectation is that we will hopefully not see the repetition of that high one-off in the running year. So with our disposal program hopefully completed.
Paul May: Sorry, just apologies, appreciate if you take follow-ups. Just on the taxes, I appreciate it's dependent on the success in development sale and the privatization business. So that is a key part of your growth moving forward in our growth strategy to be successful in that part of the business. So it seems counterintuitive or at odds with shareholders that you get rewarded for the success of that business. But they don't reap the full reward because they also incur the cash taxes. So I just wondered, is that still an appropriate metric to look at before taxes or should it be appropriate now that you look post taxes for your KPIs as well? Or is that not something that's considered in terms of changing that?
Philip Grosse : I think we have chosen EBT for a reason and there is no intention to change KPIs. But again, Paul, to be very clear, I mean the transparency you are rightfully asking for is transparency we are giving. I think far more important than looking at accounting taxes, which also include deferred taxes, non-cash taxes to a large amount is really to focus on cash taxes. And that is what we do on our operating free cash flow. But given the fact that cash taxes are highly dependent on our disposal success, here, as I said, predominantly in our privatization business. And that, again, here it also somewhat depends on which entity is that you are essentially privatizing. Condominiums from -- whether there are some tax assets you can use is a number of -- there are a number of complications which make that difficult to guide. Now I think I've given you some good indication, what to expect for this year. As I said, it's in by 10% of total EBITDA. That obviously is accounting for our best guess on successful execution of our disposal program, which is predominantly related to 2023 to land plots in the development business and to condominiums letter with a good increase. But I think this is as much transparency, I can give as of now.
Paul May: Thank you very much.
Operator: And the next question comes from Manuel Martin from ODDO BHF. Please go ahead.
Manuel Martin : Thank you for taking my questions. Two questions. The first question is, given the many things that are going on in Europe and in the world and in view that you're operating in three countries in Europe, it's Germany, Sweden and Austria, currently would you feel more comfortable in your investments and the divestment decisions or would you like it to be active? Maybe you can give us some color on your regional strategy? First question. Second question is on the migration factor. We don't know what to expect from policy in terms of migration, whether a lot of migrants will leave Germany or not or whether more migrants will come. But could you describe a bit the sensitivity of your portfolio when it comes to the factor of migration? If that's possible, of course.
Rolf Buch : So I start with the migration fact. If you look on Germany and if you look where the immigrants, which now, we have illegal immigrants and legal immigrants. I think the agreement is clear that we need more legal immigrants. So I refer to the illegal immigrants first. The illegal immigrants at the moment are not in the housing sector. They are living in camps, for example, in the big 2 airports. In Berlin, they are full of camps, which are temporary housing where these immigrants live. And if they are approved to stay in Germany, then they can ask for housing allowance and then they show up in our portfolio. So I think the new government will be mortgages even this immigrant sets will have no impact on our housing because just the camps be smaller, hopefully. If it comes to the legal immigrants, which we also partner because we are recruiting electricians from Columbia, which we say is legal immigrants. This has to be ramped up massively because otherwise, it is no chance that we will deliver the EUR500 billion spending. Because somebody has to produce the weapon, somebody has to produce the streets and the bridges and all these. So there will be a massive need of workers in this country, otherwise the program buffer. And I think everybody is aware of, and that's why we won't see a legal framework for immigration here into Germany. And this is, of course, a prognosis, I'm not a politician who is negotiating at the moment. But I think this is highly shared. So if this program will happen and if we get the approval process in time, if we don't solve the labor force, we will have an issue. And I can tell you from another job where -- and the Supervisory Board, where this is not high paid labor. They are desperately looking for it. And if they cannot provide housing, they will not provide employment. So the immigrants which will come now with this program, this is one element which we cannot judge, but it will put much pressure on this imbalance of supply and demand because what we see is the immigrants will go to the big cities as the legal immigrants. And the first question, I forgot now. So what we see is, actually, to be very clear, we see in the moment that Sweden is in all KPIs a little bit better than the last of the pack. So that's why we are happy to have Sweden. From the stability of the cash flows, all the three countries are very similar, 100% stable, 100%. So rocket solid because they are all regulated markets, and they're have all massive imbalance of supply demand. So the problem of this imbalance in supply/demand is actually the same in all the European cities, and we are only in all these countries in the big cities.
Manuel Martin: Okay. Thank you.
Operator: Ladies and gentlemen, this was the last question for today. I would now like to turn the conference back over to Rene for any closing remarks.
Rene Hoffmann: Thank you, Mohit, and thanks, everybody, for dialing in and participating in this earnings call. Also, thank you for honoring our two question request, at least for the most part. We will be on the road quite a bit. So hopefully, we will have a chance to connect in the days and weeks to come. That concludes today’s call. As always, stay safe, happy and healthy, and speak soon. Bye-bye.
Operator: Ladies and gentlemen, the conference is now concluded, and you may disconnect. Thank you for joining, and have a pleasant day. Goodbye.